Operator: Ladies and gentlemen, thank you for waiting. Welcome to Cemig's Second Quarter 2021 Conference Call. We informed that all participants will be in a listen-only mode during the Company's presentation. After that, there will be a question-and-answer session where further instructions will be given.  Now, I would like to turn the floor over to Mr. Antônio Carlos Vélez Braga. Mr. Braga the floor is yours.
Antônio Carlos Vélez Braga: Good afternoon, everyone. I am Antônio Carlos, Cemig's Investor Relations Superintendent. We now start the Cemig's second quarter 2021 earnings call and webcast with the following executives: Reynaldo Passanezi Filho, CEO; Dimas Cost, Chief Commercial Officer; Eduardo Soares, Chief Lead and Regulatory Officer; Leonardo George de Magalhães, CFO and IR Officer; Marney Tadeu Antunes, Chief Distribution Officer; Mauricio Dall'Agnese, Chief CemigPar Participation Strategy, Environment and Innovation; and Thadeu Carneiro da Silva, Generation Transition Officer. The forecast can recall out via the phone numbers in Brazil, 55-11-3127-4970 or in U.S. 1-516-300-10-66 as well as on the link available in our RI website, ri.cemig.com.br. For the initial remarks, I would like to turn the floor to our CEO, Reynaldo Passanezi.
Reynaldo Passanezi Filho: Good afternoon. Good afternoon, everyone. It is a pleasure to be here in the conference call, bringing to you the results of the second quarter of Cemig. I'm going to go straight to the presentation. You can turn to Page 3 on to make highlights. Here, we have main highlights. I would say that the message is about a consistent recovery, very robust recovery on the Company's results. These are robust figures that prove our success in this -- turnaround in the Company's recovery. And in terms of financial results, you can see -- our final results in the quarter, we reached an EBITDA of BRL2.590 billion, 38% higher than the same quarter last year and a net income of almost BRL2 billion. So in a full quarter, the Company reached BRL2.6 billion in EBITDA and BRL2 billion of net income. Here also, we have the results for the first six months, which are very significant, BRL4.4 billion in EBITDA and BRL2.4 billion of net income. Just to give you an idea, and we are here every day and sometimes we forget to make long-term comparisons. And I thought it would be nice to have this long-term comparison now. And I would like to compare that to 2018. So if we compare the results in a single semester. Cemig is delivering more than the whole year in '18, whether in EBITDA or net profit in a single semester. In six months, our EBITDA was BRL4.4 billion in six months in 2018, it was BRL3.7 billion. So we are 17% higher in six months of the results that we reached in 2018. And the same thing applies to net profit. You're seeing that in six months, we had almost BRL2.4 billion of net profit to a net profit in 2018 of BRL1.7 billion. So I would say that just here you can see that consistency in the results, a very sound result that the Company is delivering according to its strategic planning here and where the results come form? Well, first, from a huge effort in terms of operating efficiency, which takes us to the second topic, OpEx and EBITDA for distribution. We were already delivering in the last quarters, the OpEx that was within the regulatory limit. And now this is the first time in history that we were able also to deliver our EBITDA that is higher than the regulatory limit. So today, we have an OpEx that is 10% on average lower than the maximum regulatory limit. We maintaining quality were able to have lower expenses than the regulatory establishes. And at the same time, our EBITDA was over the regulatory limit, and we are increasing collection, reducing losses, increasing the connections, and that's how we were able to get such a good EBITDA over the regulatory limit. And here, we should take a look at the whole picture and make a comparison, once again, turning back to 2018, there we were enough within the regulatory OpEx and EBITDA. We were 5% lower, rather 5% higher than our regulatory OpEx and we were 23% lower than the regulatory EBITDA. So if we consider that difference, we have an adjustment of almost BRL250 million. Now over the regulatory EBITDA. If we consider the number that we had in 2018 that was lower than the regulatory EBITDA. So these are very significant results that show our efforts of operating efficiency and improvement in the Company's performance because EBITDA is not only operating expenses but also good collection practice, low provision and low delinquencies. So we are very pleased to announce the EBITDA of BRL119 million above the regulatory EBITDA. In 2018, it was 23% lower than the regulatory limit. So this is an adjustment of almost 30% in only three years. The same thing we can say about our quality indicators. This is our all-time low for DEC, 9.46 hours. Starting last -- the end of last year, we were able to be under 10 hours in that indicator. And obviously, this is a very positive scenario when we have a long-term vision. And we have been able to do that, thanks to our legal successes with no significant tariff impact for consumers our tariff adjustment was only of 128% and zero ratio consumers, and this is the lowest in this industry in the second consecutive quarter because thanks to our tax credit, PIS and that we are reimbursing our consumers. So we have been able to do that with no impact for -- and tariffs for end consumers. And that is the second adjustment that we don't need to adjust anything. And finally, here, we have a challenge and we want to accelerate the BRL122 million in investment. They are very close to what we carried out in 2018. So here, in six months, we have the same amount of 2018, and that's 20% higher than last year. But of course, for our objective, which is the largest investment program in history, we still have to accelerate and we have the challenge of accelerating it in the second half of the year. And Leonardo Magalhães will comment more on that. And here, we are highlighting operating topics EBITDA and OpEx at our record. When we know that historical comparison, we can really see that they more than doubled the results when we compare that to a few years ago, these are fantastic results in terms of efficiency, whether by meeting the regulatory OpEx or the regulatory EBITDA in the first time in the Company's history, an excellent quality indicators. Understanding the country's situation because of the pandemic and the lower tariff adjustments in the industry for two consecutive years and generating value, buying investments with the largest investment program in the Company's future, which are at BRL22.5 billion for the next five years. This is on the operations point of view. I think we can move on to the next page now. And here, we are bringing some nonrecurring profits versus the buyback of Eurobonds and Leonardo de Magalhães will go into that, but this was a success inclusion, we bought back $500 million of our bonds and eliminating, therefore, a risk regarding the FX rates. That's something that the Company had and regarding those securities also the recognition of BRL910 million with the extension of the plant right, right? And this is interesting because this is a needed cash. Effectively, we gained more or less two years, two years and something in terms -- in clients that we're doing 2024, 2025. And now we have the reprofiling of RBSE and also updating our assets using our KE, and that adding BRL211 million to our net profit. And here, we have our strategy also, which is the acquisition of India, BRL14 million. That shows our objective of going back to the market also in terms of analyzing acquisition opportunities, if they represent synergy with the Company, and this is a substation that connects two of our online. So exactly because of that, it has a lot of synergy and this acquisition will generate a lot of value. And obviously, we should highlight a sound cash position. This is very important in a scenario in which our spot price is so high, we have GSF. And so there is a need of cash disbursements of because this is only going to come next year in distribution adjustments. So this is a sound cash position of almost BRL7 billion and a net debt ratio in the 0.91 and a minimum ratio here. So these are the main highlights that I wanted to bring to you and we will be available to take your questions in the Q&A session. And now I turn the floor to Leonardo and Vélez. But when you see the whole picture, and I think that's what's interesting. It is really to see in fact, how the Company is improving. And I think this is our objective to keep delivering more and more within our strategic planning this recovery for Cemig.
Leonardo George de Magalhães: Thank you, Reynaldo. Good morning, actually, good afternoon, everyone, and thank you for being with us here in this conference call for the second quarter earnings of the meeting. So now we are going to go into the details about the renegotiation of hydrological risk. Basically, here, we have the plant where we have the concessions Reynaldo already mentioned. We highlight here in they have cash generation that is high and we we're able to have additional cash generation for two more years up to 2027. It's important to have this cash generation preparing the Company for renewal process in this concession and a possible payment of concession grant fee than -- right now, this is a noncash effect. It's only on the results. But further on, I mean, in the future, this expansion will represent a very significant cash generation for the Company in 2026 and '27. We understand that this was very important. And in the prior quarter, we mentioned that we would possibly post this in the quarter, I mean COVID effects here are the effects potent our financial statements. In the next slide, we have our Eurobond buyback. We believe this is a very important highlight. In our meeting with investors in May, we mentioned that if we had an opportunity to restart the process of buying back the bonds still in 2021. If there was a window of reduction in the FX rate, we would start a process. And today, the FX rate is over BRL5.30, but there were some moment in which it was close to BRL5, and we took the opportunity. We've done a lot the spread of BRL5.09 and we had the opportunity to start and included the bond operation. It was successful, there was a demand of BRL774 million with a premium of 16.25%. The premium considering the face value of the activity shows how the Company is improving its rating. And I think the premium represents that improvement in the credit quality of the Company. Therefore, the effect and this withdrawal of BRL3.17 billion in payments, we drew BRL500 million related to these bonds. And the net cash effect was BRL2.39 billion. This operation was included in August. So now in this third quarter, we are going to have a nonrecurring effect, which is a premium payment with a net effect for social contribution and income tax of BRL325 million in our financial statements in the third quarter, that is a to said yet. But at the end of the day, we was a very important movement to reduce our FX exposure. And more than that, considering that you have a partial hedge also a better debt profile. And when Vélez talk about that, it's going to be very clear how the Company now has a much better debt profile because we removed the 1.5 million for 2024, we were BRL8 billion to a much less amount. We believe it's impacted -- it's better for the Company in expansion management and debt profile. On the next slide, we have the effects of the bond. In the second quarter, the total effect worth BRL617 million credit. But looking only at the head, we have a negative effect of BRL426 million because of the interest rates, considering that we switched our hedge, we changed FX variation by CDI, considering CDI was up in the first quarter that has a negative effect on the pricing of our hedge. But on the other hand, considering the FX rate was down. We ended the quarter close to BRL5 that had a positive effect of €1.043. So in the quarter, we have a positive effect and the balance sheet of the Company of BRL617 million because of these operations that involve the updating of the principal amount of our debt of the bond and also how much our hedge adjusted to market value and that pricing. Moving on, this is an important highlight. And we mentioned in prior quarters, the tariff adjustment of the Company was approved on May 25 by now that the tariff review considering all consumption classes was of BRL1.28, but for residential consumers for the second year in a row, this is zero adjustment. That is during the pandemic our consumers, residential consumers had no tariff adjustments, and we believe this is an important piece of data that helps the Company to maintain the delinquency level very low, and we'll talk more about that in a few minutes. And that was thanks to the beginning of reimbursement of tax credit. And we started reimbursing those amounts. The total of BRL4 billion, and these amounts were considered in the last two tariffs a adjustments and we started already reimbursing BRL1.5 billion in the credit. We believe this was an important event for the Company. We were successful and the Company also is benefiting consumers, thanks to a proactive action in 2008 when they started this lawsuit. Moving on to our investment program. We had BRL822 million at up to June. The total amount so far is BRL2.9 billion. This is a great challenge for us to be able to carry out all this plan by the end of the year. The first six months was the one with the greater challenges in terms of acquiring equipment considering FX variation and also the price increase we're still in the international market. All of that cost is this investment process in the first half of the year to be more challenging. And we hope that in the last semester, this investment program, it's accelerated. And just to give you an example, we have around 30 substations to be concluded in the second half of the year. And because of that, we understand that the second half of the year, we will be able to have a better performance in terms of our investment decision. But even if part of this investment on this distribution, which is the highest one, BRL2.3 billion, if we cannot include all of that at the end of the year, we understand that we will have to accelerate. And at the most, it should be concluded by 2022. We are alert to that situation, and the Company is really working to include the investment programs in 2021 and 2023, so that we can include them in our regulatory tariff review. Moving on, we talk about quality indicators and matters that involve delinquency. And now I'll turn the floor to Marney, our Distribution Officer, a new work on distribution on this process, and he will comment more.
Marney Tadeu Antunes: Thank you, Leonardo. Good afternoon, everyone. Just stressing what Dr. Reynaldo mentioned in the beginning that we reached the lowest level of the in history. Now we are at 946 and this is a moving indicator in 12 months -- 12 months. So July of 2020 to June 2021. So this thing is much lower than the regulatory limit. I would like to highlight to topics here. The first one is a program and the other one is the accident of the CR program wants to be even higher than last year because our investments were higher. But because we are using new technologies, we have a great management there so that we do not increase the program we see, which is to grade for maintenance and the accidental is was by our investment plans. It has to do the substations that are in the construction 30 substations, 30 kilometers of transmission lines, all of that because of the pandemic. We'll be able -- we will leverage now in the second half of the year. We have some bidding problems but all the events have been taken care of, and we'll be able to move on. And all these comments also can be applied to SEC for 89 much lower than the regulatory limit, which is BRL656 also the historic results. Next slide, please. Now turning to our delinquency and how we are fighting delinquency. I would like to mention that because of the pandemic and its consequences when we could not be the connections in some customer categories, the isolation and the economic prices that we had. We don't have to develop a special plan to a delinquency, and we developed a program for merchants. We were very successful in the results of this program, helping the merchants to go back and start working again. We increased the number of disconnections were allowed. We added intelligence to the process to have a better return. And all of that allowed us -- so we have a better collection index. You can see that here in the first line, we had a collection index of 98.8% at the highest levels in the past few years. This is collection over $1 billion in 9.4% in our collection activities that is 50% higher than the same period of last year. Also we automated product automatic activities, electronic product. We implemented that we started charging bills on the credit card installment for the pace to build also we negotiated installment relates connection, we had 201 more disconnections than same period of last year in the category where we could have the connections again. And also, we have new payment channels. And you can see here on the screen. I also would like to highlight that thanks to that, if we look to the chart, the top chart, you have 98.87%, which is our collection index. Collection is over $1 billion. Our has a very satisfactory results, thanks to the improvement in the rules, reversals that we are working on and also all the selection actions. And I would like to add the losses. We are in very well in delinquency and in terms of the losses. Our losses today only just ended July 11.92%. Our target for the year is 11.09%. We are very close to it and the regulatory. We expect that October next year, that rate planning to reach the regulatory level or losses. So we are doing well in losses and delinquency, which so our plan is on the right part. Thank you very much. And I'll turn the call back to Vélez.
Antônio Carlos Vélez Braga: Thank you very much, Marney. From now, let's turn to Slide 13, and we'll start the Company's results. Here, we have the main effect for the second quarter of 2021. For Cemig Holdings, we had an operating efficiency initiative, which was our voluntary redundancy program. We had the enrollment of 324 employees and the cost was of BRL35 million. For Cemig distribution exclusively, we should highlight us. We already mentioned the strong growth in the volume of distributed energy of 12.4%. Our market captive market that is the sale for end consumers grew 5.3% and transport for clients for free clients here also had a strong growth of over 21%. And we are going to go into the details of this growth. And if it were not by distributed generation. And as you know, this is very sound in managed growth for total consumption would have been over 14%, but we are going to go into the details shortly. As already mentioned, we had a reversal in our ADA in BRL8 million that was in order to better reflect that provision. But I should highlight that even without that reversal, we would have a 50% reduction in provision following the same criteria of last year. Just to make clear here that there is an improvement regardless of the reversal. And as already mentioned, by our CEO, the OpEx for the distributing company is within the regulatory target for 2018, we did have the effect of the booking for in several hydrolyzed over negotiation with a positive impact in our EBITDA of BRL910 million also. We have a reprofiling of on was a positive BRL211 million, marking to market of Eurobond as our CFO mentioned, had a positive effect in 2021 of BRL717 million with a lower positive effect in the same period of 2020 of BRL71 million. So that also causes sees a result increase, and we will show you a in details when we don't company by company and equity income or we had a negative impact of BRL119 million in the second quarter of '21. We sustain a negative effect and us to see plenty of BRL8 million, but negative equity income was mainly because of Santo Antonio and Turning to Slide 14. We have here the results in the first half of the year, the consolidated for Cemig for 2021, first half of the year. So strong growth for EBITDA and profit, weather and accounting IFRS figures or are recurring numbers when we consider the period adjustments. So EBITDA, for instance, the IFRS EBITDA increased 66.9% reaching BRL4.434 billion in the first half of the year. While the recurring figure for EBITDA reached BRL2.973 billion with a growth of 29.5%. Our net profit and IFRS we 133.5% from BRL1.04 billion in the first half of BRL2.360 billion in the first half of 2021, and the recurring results last year's net operate in the first half was BRL1.58 billion and it increased 45.8%, reaching BRL1.543 billion in the first six months of 2021. We do have adjustments on the bottom of the page. And as I mentioned, the highlight here is the which was the highest BRL910 million. In the second quarter of 2021, the consolidated results also had growth anyway you look at it in accounting, accounting wise and recurring figures as well. And this was because of the highest energy consumption in our concession area. And also we have growth in gas consumption from that was very relevant of 85% in the period. And just as Melon had a growth in EBITDA of BRL94 million in the second quarter of '21 vis-à-vis second quarter of '20. Consolidated EBITDA and IFRS grew 38.8%, reaching BRL2.590 billion. And in the second quarter of 2021, we adjusted figure was of BRL1.321 billion, up 39.4%. About the net profit, it was up 79.9% for BRL1.87 billion to BRL1.946 billion in IFRS, while the adjusted net profit with no effect of the FX exposure, we had an increase of 58.7% to BRL141 million to BRL700 million. So in recurring terms, I think we can say that net profit increased almost 8% in IFRS, and we adjusted almost 60%. So these are great results for our second quarter of 2021. Go into the details of the Cemig team. We also grow, as you can see, and we should highlight that because of the adjustment in our contracts and also settlement on CPE, we had an average price of BRL248.34 in the second quarter of 2020 that is energy selling price for the BRL219.53 million in the same period of 2020. So Cemig EBITDA grew in IFRS of 112.6%, reaching BRL1.699 billion, while the adjusted result in the EBITDA was BRL430 million, up 34.8%. The IFRS profit reached €1.441 billion, up to 154.8% and then the adjusted net profit was BRL198 million increasing over 360%. Starting on Slide 17 and to talk a little bit about the energy market for Cemig Distribution. Now as we mentioned, energy build to end consumer and energy, both it increased to 12.4%. Out of that, we transported energy for free clients increased 21.4% and consumers energy increased 5.3%. We should now return to the industrial area in our concession area, which you had a strong recovery of 19.6%. That was increasing consumption, really, really strong because of the recovery. But also residential customers you see here. But you have last year in this period of the stores were basically closed. So there was an increase of 8.8% in the commercial area. But the residential consumers are in during the pandemic they were consuming regularly, and we did have in consumption in the residential segment. And even the early 2021, we still see growth in that area, 4%. So it really is a very important season. As I mentioned, in terms of the distributor generation, the total energy there increased over 90% in the second quarter of 2021 compared to 2Q '20. And so in 2Q '20, we had 232 gigawatt hour injected in our system because of the site generation and until 2Q '21, we have 442 gigawatt hours. So when we add these figures to total distributed energy, we concluded that total to in concession area for Cemig distribution actually increased 14.1%. We also had migration of captive clients to free clients. So this is what you see for our end consumers. They also had the dynamic. Therefore, we saw a migration in the second quarter of 153 gigawatt hour. And so comparing total distributed energy, for Cemig distribution in the second quarter of '21 to the second quarter of '19, which would be a better comparison day because it was before a pandemic. There was a growth of 3.8%. So once again, growth -- we see growth on all areas from all angles we look at it. Now on Slide 18, we have the Cemig distribution results. We did not have any nonrecurring impact here, and that's why you only see EBITDA and net profit in IFRS, there was an increase in energy volume. And here, we once again highlight the industry. Only the industrial sector it had an increase of 907 gigawatt hours. We had a reversal, as I mentioned, in the provision of ADA in the second quarter of BRL8 million vis-à-vis a provision of BRL103 million in the second Q '20. If we had done the provision in 2021 using the same criteria of last year, the provision would have been BRL41 million. I mean even then it would be much lower, stressing what we already tag regarding all our initiatives to increase collection and reduce delinquency. On Slide 19, operating costs and expenses so was an increase of 25.3%. And when we removed items such as purchase of energy or energy that we purchase and then sell for commercialization, and so PMSO itself went from 856 to 9.9. And there was an increase specifically here in outsourced services. It was the two main reasons, last year because of the pandemic, some IT expenses have been reduced because services were reduced considering the pandemic. And also, there was a migration of the data center. And while we're migrating information from one data center to another, we had an overlapping of two service providers has been concluded already. And we have to remember that in the second quarter of 2020, basically, we didn't have any disconnections of our overdue customers. And in August, they started again. But in the second quarter of 2021, we had 33,000 connections, but we didn't have any in 2Q '20 and this is a service that basically buy our subcontractors. Now turning to Slide 20. We have here the comparison both of OpEx and EBITDA, both regulatory of Cemig distribution to the real numbers. This is right. This has been already mentioned by our CEO. We're just going to go into the details here. The regulatory effects in the first half was BRL1.571 billion, and the realized OpEx was BRL1.143 billion better than the regulatory in BRL128 million just in the first half of the year. I should highlight here the PMSO itself is lower than the regulatory BRL385 million. But because of the other expenses that we have such as profit-sharing program, retirement, and voluntary redundancy program and other provisions that are higher and that we bring in so that we can factor those into the comparison, and we still suffer a little bit in a way that we have the realized OpEx of BRL1.448 billion. But as our CEO mentioned, it's important to see it as the whole picture in 2018, the realized OpEx grow 5% or higher than the regulatory OpEx in 2019 it's just over 29%. And just in 2020, as you know, you're following the Company. By the end of the year, the third and fourth quarter alone that we were able to have a better performance and the OpEx and 2020 or 5% lower, and now just in the first half of the year, we are 8% lower than the regulatory OpEx. About the EBITDA, the regulatory EBITDA in the first half was BRL1.217 billion and the realized was BRL1.336 billion. As we see, it was better than the regulatory OpEx was better as well. And just losses were a little bit lower in the 51% in the half of the year, a much lower figure than what we had last year. And as Marney mentioned, but by October of next year, we should be within the regulatory level as well. Now turning to Slide 21. We have here our debt profile, consolidated debt profile. So here, you see in the first chart, the maturities timetable, with average tenor for 3.4 years. Our net debt is of BRL6.3 billion. This compared to total debt minus cash and securities, and we still reduced our hedge because this is an asset that we have, and we showed that this is something that we can use at any time when we're ready to settle the bond whether at maturity date or prepayment is considered cash also because of covenant calculation effect. So by the end of the quarter, our cash was almost BRL7 billion with the maturity timetable that we see here plus BRL456 million during 2021 and 2022 BRL1.159 billion, 2023 BRL821 million. So up 2023, we have a maturity stable that is fine for the Company's cash generation. But in 2024, we have the maturity of this bond. And we should highlight that by June, we had BRL8.90 billion. But since we carried out the tender operation in July and August, and we settled it in August, $500 million, we are already reflecting the real maturity in 2024, which will be BRL5.885 billion and much better. And we did not have a debt transfer here. We use the cash that we have by the end of the quarter to be able to make a payment. So we are not flowing out that from this year to another one. In terms of the investors, the U.S. dollar is almost relevant, 57% of our debt is invested by dollar. IBC represents 30% and CDI, 13%, and we have other investments that are not very representative even then we have our hedge protecting our dollar-denominated debt on the principal is protected in between $3.45 per dollar from $3.45 up to $5. And we have a full swap for interest rates of around 155% and a very competitive cost of debt. In terms of cost of that, nominal terms in the quarter, we reached 8%. But if we can delay the real term, which is important, and it's important to do that. As you know, our revenues are protected against the inflation to our debt cost in the real term is still coming down, reaching 1.06% a year. And leverage is still going down, both in terms of net debt over EBITDA and the total net debt over equity plus in 2018, net debt over EBITDA was 3.24x in December of 2018 and now in June is 0.91x. Now in terms of capital structure, it was 42.8% in 2018 and now it is at 20.2% in June, a significant reduction. And this is reflected in our credit quality in the performance of our debentures and our bonds in the secondary market. Now turning to end of the figures in our results on 22 -- Slide number 22, we can have a consolidated cash flow. This is what would be the reconciliation. So by the end of last year, cash and securities was BRL5.805 billion. The cash generation was BRL2.944 billion. We did have cash flow settlement of derivative instruments of BRL889 million. We reimbursed our consumer of BRL910 million, regarding the tax credit of PIS and COFINS that allowed us to have a very low readjustment last year and this year, and we paid long-term financings with no further funding. We also paid a dividend. That's why we have that BRL734 million in financing activities. We sold light in January, and we raised BRL1.366 billion, and we invested BRL829 million in a way that our cash by the end of the quarter reached BRL6.998 billion. Now, I will turn the floor to Reynaldo on Slide 23, to talk about the management's priorities.
Reynaldo Passanezi Filho: I will be very brief so that we have time for questions. In addition to operating efficiency measures, which are part of those management teams in our strategic plan disclosed by May, we were very transparent, and we mentioned our is -- our main initiatives in terms of value generation for the Company. And this slide is kind of an accountability to show you how the actions are moving forward. This is our guide. A lot of the measures and a lot of the topics have been already carried out. And we are working in the remaining ones, and we expected that in the next quarter. We will bring to you more and more of these measures already achieved, and these involve restructuring our retirement benefit plans and also better generation. And we understand that considering the results we're bringing to you and by the deliveries that we involve operating efficiency of the Company and a better structure of capital. We understand we are on the right track to have and to carry out all these measures that we consider to be the more relevant point. That's it Vélez.
Antônio Carlos Vélez Braga: Very well, we now see the presentation we prepared for you for this call. And now we turn to our Q&A session.
Operator:
Reynaldo Passanezi Filho: Very well. Good afternoon, everyone, and thank you very much for being with us on this call. We hope to see you within 90 days with the results of the third quarter. We expect that they are as robust and consistent as the ones we just brought to you. Thank you all very much. See you next time.
Operator: Conference call of Cemig has ended. Thank you very much for your participation, and have a nice afternoon.